Operator: Good day, ladies and gentlemen and welcome to the Silvercrest Asset Management Group Inc 3Q Earnings Call. At this time all participants are in a listen only mode. Later there will be a question-and-answer and instructions will follow at that time. [Operator Instructions]. Before we begin, let me remind you that during today's call Silvercrest will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact, including statements regarding future events and developments, Silvercrest's future performances, as well as management's current expectations, beliefs, plans, estimates, or projections relating to the future are forward-looking statements. These forward-looking statements are only predictions based on current expectations and projections about future events. These forward-looking statements are subject to a number of risks and uncertainties, and there are important factors that could cause actual results, level of activity, performance or achievements to differ materially from the statements made. Among these factors are fluctuations in quarterly and annual results, occurrence of net losses, adverse effects of management focusing on implementation of a growth strategy, failure to develop and maintain the Silvercrest brand and other factors disclosed in the Company's filings with the SEC, including those factors are listed under the caption entitled Risk Factors in the Company's annual report on Form 10-K for the year ended December 31, 2014 filed with the SEC. In some cases these statements can be identified by forward-looking words such as believe, expect, anticipate, plan, estimate, likely, may, will, could, continue, project, predict, goal, the negative or plural of these words, and other similar expressions. These forward-looking statements are predictions based on Silvercrest's current expectations and its projections about future events. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update these forward-looking statements. And I would now like to turn the call over Richard Hough, Chairman and CEO. Mr. Hough, please go ahead.
Richard Hough: Thank you for joining us for our Third Quarter 2015 call. The third quarter was a volatile period for the stock market as you all are aware resulting in a decrease in discretionary assets under management for the quarter ended September 30 to $11.8 billion from $12.6 billion as of June 30, 2015. Year-over-year our discretionary assets increased $0.7 billion, up from $11.1 billion as of September 30, 2014. After eight quarters of positive organic growth of the firm our net client asset flows were flat for the third quarter, primarily due to institutional rebalancing and despite adding new high net worth relationships. Asset values and, therefore our discretionary assets under management have rebounded with the market's recovery since the third quarter's end. Importantly during this period Silvercrest's proprietary value equity strategies increased their relative outperformance compared with their benchmarks during the quarter, and each of our firm's six strategies has now outperformed its benchmark for nearly all periods, as well as since inception. Our outperformance bodes well for future organic growth, both institutionally and with high net worth families. The integration of Jamison, Eaton & Wood which we had announced in the last quarter’s call proceeded smoothly and the combination has performed in line with our firm's projections. On November 2, 2015, the Company's Board of Directors declared a quarterly dividend of $0.12 per share of Class A common stock. The dividend will be paid on or about December 18, 2015 to shareholders of record as of the close of business on December 11, 2015. With this introductory remarks I will turn it over to our CFO Scott Gerard for financial commentary and then we will take your questions. Thanks.
Scott Gerard: Thank Rick. So last night we released – issued after the market close for the third quarter discretionary AUM as of September 30, 2015, was $11.8 billion and total AUM as of September 30 of this year was $17.6 billion. Revenue for the quarter was approximately $20 million and reported consolidated net income for the quarter was $2.8 million. So looking a bit more detail on the quarter year-over-year, revenue for the third quarter of this year was $20 million representing approximately a 12% increase over revenue of $17.8 million for the same period last year, this increase was driven primarily by growth in our management and advisory fees as a result of increased AUM. Expenses for the third quarter of this year were $15.7 million, which represented approximately an 18% increase from expenses of $13.3 million for the same period last year. This increase is primarily attributable to both increase in compensation benefits, expense of $1.6 million and general and administrative expenses was up about $0.7 million. The increase in comp and benefits expense was primarily because of an increase to the accrual for partner incentive payments in addition to higher equity based compensation expense. Primarily as a result of restricted stock unit grants that were made this past August. General and administrative expenses increased primarily, because of increased investment and research costs, in addition to increased amortization expense related to intangibles associated with the Jamison acquisition. Reported consolidated net income was $2.8 million for the quarter, as compared to $2.9 million for the same period last year, reported net income attributable to Silvercrest or the Class A shareholders for the third quarter of this year was $1.3 million or $0.17 per basic and diluted Class A share. Adjusted EBITDA which we define as EBITDA without giving effect the equity based compensation expense and non-recurring items was approximately $5.8 million or 28.8% revenue for the third quarter of this year, compared to $5.3 million or 29.7% of revenue for the same period last year. Adjusted net income, which we define as net income without giving effect to non-recurring items and income tax expenses assuming a corporate rate of 40% was $2.7 million for the quarter or $0.21 per adjusted basic share and $0.20 per adjusted diluted share. Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares of outstanding as of the end of the reporting period for basic adjusted EPS and to the extent dilutive, we add unvested deferred equity units, restricted stock units and performance units to the total shares outstanding to compute diluted adjusted EPS. Looking at the nine months ended September 30, this year compared to last year, revenue for the nine months was $55.9 million representing approximately an 8% increase over revenue of $51.8 million for the same period last year again this is primarily driven by growth in our management and advisory fees as a result of increased AUM. Expenses for the nine months ended September 30, this year were $42.9 million which represented about 9% increase from expenses of $39.2 million for the same period last year. This increase was primarily attributable to increases in comps benefits expense of $2.3 million and G&A expenses increased by about $1.4 million and comps benefits expenses increased primarily because of the accrual for partner incentive payments. G&A increased year-over-year for the nine months because of increased professional fees and investment research cost in addition to again increased amortization expense related to Jamison deal. Reported consolidated net income was $8.9 million for the nine months ended September 30 this year that compared to $8 million for the same period last year and reported net income attributable to Silvercrest or the Class A shareholders for the nine months ended September 30 this year was $4.5 million or $0.57 per basic and diluted Class A share. Adjusted EBITDA for the nine months ended September this year was approximately $16.1 million or 28.8% of revenue versus $15.4 million or 29.7% of revenue for the same period last year. Adjusted net income was approximately $8.1 million for the nine months ended September 30 this year or $0.64 per adjusted basic share and $0.60 per adjusted diluted share. Firstly looking at the balance sheet, total assets were $101.9 million as of September 30, 2015 that compared to $99.7 million as of year end last year. Cash and cash equivalents were $26.1 million at September 30 that compared to $30.8 million at year end last year. Notes payable was $5.2 million at September 30 and $4.1 million at December 31 last year. As of September 30, 2015 total stockholders’ equity was $45.6 million. That concludes my remarks and now we’ll turn it over for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Steven Schwartz with Raymond James. Your line is now open. Please go ahead.
Richard Hough: Good morning Steve.
Steven Schwartz: Thank you. Hey good morning everybody.
Scott Gerard: Good morning.
Steven Schwartz: First a quickly [ph] numbers question for Scott. From my [Indiscernible] purposes Scott equity based compensation 497 that’s going to be higher in the fourth quarter?
Scott Gerard: That’s correct, as the grants were made on August 6, you’re right.
Steven Schwartz: All right, okay just making sure about that. And then for Rick, may be you could talk about pipeline a little bit, it’s kind of like it was very good at the end of the second quarter and the markets still apart in the third quarter, if you could update on how that went and how that’s currently looking?
Richard Hough: Absolutely, during the third quarter, we saw the pipeline for new business those on the institution as well as on a high network side, shrinking dramatically and not surprisingly those in the pipeline were much slower than the past, at least on the high network side, the often end market volatility as people aren’t making mistakes by shifting their assets around a lot which you see more in the retail markets, they’re going to be a lot slower to make decisions figuring that’s what they know and why make a decision when everything is up in the air, so but very speed fall off. Interestingly since the end of the third quarter which is really just to say the past month. The institutional pipeline doubled from where it was, so with the market rebound that we saw on October, a very unusual October, we saw both the high network and the institutional pipeline sales substantially backup.
Steven Schwartz: Okay, and then Rick on the institutional side, that has been driven by your small cap product which has had great returns for a number of times, but given the numbers that you’re posting on all of your strategies is that in your discussions with institutions within this pipeline, is that began to expand out of small cap?
Richard Hough: It is our institutional team is talking about some of the other products with institutions, I think you can appreciate that in order to be successful, they really have to be very focused on particular products and getting currency in the marketplace. And since the institutional marketing effort is while two years old now very recent for us, most of that effort was focused on getting the some great traction in small cap, which we now have and starting to build on itself, we’ve also added the team, so it is possible going forward that we’ll see more searches involving mid-cap for example for focused value which really has excellent returns or even equity income, but – given the capacity in small cap given that where a lot of the demand is into the surface especially the active managers that’s what we are going to continue to put most of our focus, obviously we are introducing the other places for the marketplace but we have to take our battles and that’s the winning one right now.
Steven Schwartz: Okay, all right guys. Thank you.
Richard Hough: Sure.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael Kim with Sandler O'Neill. Your line is now open. Please go ahead.
Michael Kim: Thanks. Hey guys good morning.
Richard Hough: Good morning.
Scott Gerard: Good morning Mike.
Michael Kim: Good morning. Rick can you just may be flush out a bit more the flow trends for the quarter across the high networks on institutional sides of the business, just in terms of some of the underlying drivers and the mix by channel and then more specifically, I know last quarter was a bit skewed by the sub-advisory wins, but any color into the sequential slowdown on in new accounts during the third quarter was it just really a function and sort of the market volatility that you alluded to?
Richard Hough: I think it really was, I mean the – it’s interesting that the – as I said before and I’m going to say in every call. The flows for the ultra-high net worth business are extraordinarily lumpy and I think it was quite unusual that we grew strongly as we did on the high net worth side in such a consistent way, obviously, we want to achieve the kind of the growth we had in the past couple of years, with the eight quarters of consecutive high net worth organic growth especially through on a second quarter period which is when tax payments were made, was really quite strong in our history. Third quarter is one of the more lumpy quarters in general just historically it covers the summer months and sometimes that and things like that need families have time when they are together and aren’t quite [Indiscernible] to make decisions, other times they seems like they’re busy and having fun in harbor reach [ph]. So I don’t know what to say about the third quarter level on any quarter, just to be clear. The pipeline really was just the amount of activity for us and RPs for family over through that we’re getting really dried up in the third quarter. I don’t have any insight other than I think it just makes people nervous and they are not going to act during the circumstances. The flows were very balanced, what we saw on the institutional side was a fair bit of rebalancing. As Steven mentioned in his question are relative outperformance by all of our strategies pickup quite a bit, they just looks incur in every absolute performance period. I think the only product that did not meet its benchmark was only the five year number for a large cap, otherwise every single strategy handle [indiscernible] the benchmarks for the 1 to 3, 5, 7 and since the inception. So, when you perform that well unfortunately it’s a high class problem, sometimes you have people rebalancing, but it kind of balanced off the high network side, we definitely want new relationships, a few relationships in the third quarter and families added money, four families alone added a $100 million for example. So those are big numbers on our total base, but as I have always stressed the relationships there what’s important that we didn’t lose, lose substantial relationship to gain some. So, our very high retention rate stand strong and people clearly were [Indiscernible] money despite the some of the rebalancing on the other side. So, they were small numbers, not even, if I looked at the total numbers in terms of new account, closed accounts, cash flow in and out, none of those categories reached 100 million right, I think one reached 60 million, so it really was truly flat, nothing as note to mention.
Michael Kim: Got it, that’s helpful and then may be just kind of follow-up on the core high network the side of the business you mentioned ongoing new wins and things like performance and service and continue to build out sort of distribution capabilities, but just wondering how you might be thinking about other initiatives or potentially grow on the PN base to may be drive a further step up in market share?
Richard Hough: Yes, well let me talk about, it’s really kind of a 2 point question, because the first is really drives to organic growth, the lumpy side of the business and on that we just keep doing what we’ve been doing we’re clearly delivering it on the investment side and I think the relative performance that we delivered on behalf of our clients bodes well for the future on that side. It also by the way is good thoughts in it to our value buys in terms of family manage high network accounts. They tend to be less volatile and as preserve capital as you know better doing creates the volatility, which is what often drive our outperformance and allows people to have more security in their assets and I think that in addition to the high level service we provide is an important piece of why we have such high client retention. And I think it’s also a period like this that really shows the distinguishing characteristic of a firm like ours versus many of the other pier asset managers is much more going to the retail markets and institutional sentiment [ph] where they not only in the marketplace saw asset values fall off at the market, but they also saw significant outflows of sentiment change and that may have reversed to them in October as it has for us, but the key [Indiscernible] that those flows were stable. The organic side here its performance and services never changed, it’s that simple. On the inorganic side which the second part of your question is alluded to, we continue to conversations that we have initiated with any number of firms, as you know the cultural piece is among the most important for us in order to assure long term success, I think the Jamison deal that helped us expand in New Jersey and our high network relationship was a good example of that. It’s not an enterprise risking move, it was contributive and accretive to the firm and that integration is going really smoothly, we’re clearly looking for the next one. I have told my partners, I think I have mentioned it in previous calls perhaps in the second quarter, but I view the inorganic growth strategy hiring new PMs and acquisitions to be more of a driver of growth or as much a driver of the organic story that we’ve had in the past couple of years. So going forward for the next couple it’s likely to be as much an inorganic [Indiscernible]. Those conversations are pretty robust and any number of geographies, it’s just going to matter of one we can find the right fit. I think I also mentioned in the second quarter in this business at least, price expectations are very important and at the end of the day, I have to make wise use of capital, I’ve turned away deals where I thought they were too rich and people are looking for too much and you never know when that may happen, it can happen at the end of the deal. And so, it’s just something we are going to be really prudent about, but when we do something it’s going to be worth noting for sure.
Michael Kim: Got it, okay. And then may be just one of Scott to follow up on compensation, just curious how we should be thinking sort of at a high level about the potential level and timing of further equity grants as we look out to next year and beyond particularly within the context of margins?
Scott Gerard: Yes, we – back in August we made quite substantial grant, so there is no eminent plan to make a grant to that level. There could be a smaller amount forthcoming in the future that something that we’re evaluating internally, but as of now, the August grants, those certainly were made.
Richard Hough: One thing we’ve said Mike, this is Rick, is that we had set on those incentive shares for a couple of years, no one had received them and we felt given the execution of our business plan like partners deserved to be recognized for that and further hold them into via shares. We did, we thought we could absorb in the P&L and I think we are prudent about it, especially of the stock price at this time, we are going to be very careful about how that changes or moves our comp, as you know we target something around a 55% cash comp and I think these shares move a closer to 60% in total comp and that’s a figure we keep a close eye on and one of those share, all of our shareholders with that, our partners are just as interested in it as our public shareholders.
Michael Kim: Got it. Okay, thanks for taking my questions.
Richard Hough: Sure.
Operator: Thank you. [Operator Instructions] I’m showing no further questions as this time. I will now turn the call back to Richard Hough, Chairman and CEO for closing remarks.
Richard Hough: Thanks very much. I will make one concluding remark at going the opening comments and reflecting it on Steven and Michael’s combined questions. And that is why our flows were flat and [Indiscernible] pleased during the third quarter with how relationships were retained and our relative performance increased which can only have the firm and I think it’s a testament how the business a fair bit different than any of the other asset management firms. I think I also want everyone aware that not surprisingly given the change in the markets in October who know that they keep continue, much of the actual asset decline was reversed and that also have the effect of reversing what we saw in terms of decreasing pipeline. What that means is a business type this is really potentially having to look through the fourth quarter at what we would be doing over the next 6 months to a year, because this volatility is sort of like the mouse and the snake it’s got to work this way through because obviously we’re coming in the fourth quarter on a lower revenue basis, then we otherwise would have despite that could help with the business. So with that I want to thank everybody for joining us and wish you a good weekend. Thanks very much.
Operator: Ladies and gentlemen this does conclude today’s program. You may all disconnect. Everybody have a wonderful day.